Operator: Welcome to the Dentsu 2023 First Quarter Earnings Call. [Operator Instructions]. Today's presentation materials are available on the Dentsu Group website. Joining me today are, CEO Dentsu Group, Hiroshi Igarashi; CFO Dentsu Group, Nick Priday.
Nick Priday: Hi, this is Nick Priday speaking.
Operator: Dentsu Chief Global Client Officer and Dentsu Americas CEO, Jacki Kelley. 
Jacki Kelley: Hello, everyone. This is Jacki speaking.
Operator: CEO, Dante Japan, Norihiro Kuretani. The agenda for today will start with business update from CEO, Hiroshi Igarashi. CFO, Nick Priday will then present the financial update, followed by CEO, strategic update from Hiroshi Igarashi. After that, we will invite you to ask questions. Mr. Igarashi, please go ahead.
Hiroshi Igarashi: Good evening. And thank you for joining first quarter earnings call today. In the first quarter, we saw net revenues increased by 4.5% year on year, but organic revenue declined of 1.6% given the strong prior year comparables, so despite a slightly slower start to the year than we expected, we reiterate the net revenue operating margin and underlying EPS guidance we issued in February.  We now expect a greater contribution from acquisitions to achieve the net revenue growth of 4% for the full year we guided to in February and a reduction in financing costs gives us confidence in the full year EPS figure of ¥461. We continue to grow revenues in customer transformation and technology, reaching 35% of group net revenues in the first quarter, growing at 6.7% year on year.  Moving to some of the highlights from our first quarter. In Japan we want several new CT&T remits are from clients in the service, technology and telecoms and financial sectors. In APAC we secured the media business from Food Panda and EMEA we won creative work from Prime Video, Heineken and Benetton. We also welcomed Telus, one of the largest telecom companies in Canada to our roster. We have also recently launched Mugen AI, a Lensa solution for our clients that comprehensively supports the creative production process using AI.  The AI capabilities include conception, generation and continual improvement of creative work as well as forecasting advertising effectiveness. Mugen AI sits within the Dentsu Creative Intelligence Initiatives led by Dentsu Digital. We announced three acquisitions in the first quarter, OMEGA, Tag and Shift7 all of which support the expansion of capabilities in the CT&T area. Next, on sustainability and ESG. We have updated our target for female leaders across the group to 45% by 2030. Defining leaders to include directors and executive officers demonstrating our commitment to DEI throughout the groups. In April, we held our groupwide volunteer initiatives, titled One Day for Change, with over 8000 employees participating. Finally, in terms of industry awards, we have recently won three of Asia's most prestigious advertising awards, at first 2023 One Asia Creative Award and Spikes Asia 2023. In addition, Dentsu Digital, Septeni and Carta Communications jointly won the highest platinum award at the Tiktok for Business Japan Agency Awards 2023.  So, I will now hand over to Nick to talk us through the Q1 financials. Over to you Nick.
Nick Priday : Thank you, Igarashi-san. Hello everybody. This is Nick Priday speaking and I'm going to provide an update on our financial performance for the first quarter. I will be pausing throughout my presentation to allow for the Japanese translation to catch up. So I'm going to start with the three key metrics you can see on the screen, I'll give you an update on the first quarter performance. And then at the end of the presentation, I will provide an update on the outlook for the full year. So as you've just heard, the organic revenue decline in the first quarter was minus 1.6% due to strong prior year comparables, that is significantly as the year progresses into the second half.  The group operating margin was down significantly year on year at 14.2%. However, this was mainly due to the very strong revenue performance in the first quarter last year, and a change in timing of recognition for incentives. Profitability is in line with our expectations for the first quarter. Underlying basic EPS for the first quarter was ¥86 down more than 30% year on year. However, we are confident of achieving the full year guidance are ¥461, thanks to a reduction in financing costs being implemented in 2023.  This next slide shows the main items of profit and loss. Net revenues increased by 4.5% to ¥268.8 billion despite the organic decline, acquisitions and foreign exchange had a positive impact on revenue growth. Underlying operating profit was ¥38.2 billion down to 30% year on year. As mentioned, the timing of incentives impacted Japan and the restart of face to face activities increased the travel and entertainment costs. And as a result, underlying net profit was ¥22.9 billion. As a reminder, the first quarter is our smallest revenue quarter internationally, and therefore profitability can fluctuate. We remain focused on annual margins and profitability and remain on track to deliver our guidance.  Next, I would like to talk about the main driver of our growth CT&T. In the first quarter, we successfully expanded our revenue mix and capabilities through acquisitions, leveraging our strong financial position. We have announced three acquisitions since the start of the year, OMEGA, Shift7 and Tag. Tag was the third largest acquisition in Dentsu's history. It will give us scale and dynamic creative production capabilities, as well as an AI powered technology platform Digital Interact. The deal is expected to complete in early quarter three, resulting in an increase to the CT&T ratio by further one percentage point. Our M&A pipeline remains healthy. It was almost 18 months ago that we shared our plans for an M&A fund of ¥250 billion to ¥300 billion to be spent over the three years from 2022 through to 2024. So we're almost halfway through that three year period and the run rate of spend is in line with expectations.  We closed the first quarter with a net debt to EBITDA ratio of 0.52 times and we will continue to consider further opportunities to grow our capabilities in CT&T with a disciplined and rigorous valuation approach.  Turning to our regional view, in summary EMEA grew more than 3%. Japan was flat, and the Americas and Asia Pacific declined organically. Highlighting the markets that delivered more than 5% organic revenue growth in the first quarter, they were Denmark, the Netherlands, Norway and Switzerland. Markets that saw organic revenue decline include the U.S., China, Germany and India. Dentsu Japan, our largest region maintained flat organic revenues despite strong double digit comparables in the previous year. CT&T continued to report double digit organic revenue growth led by ISID. Towards the end of the first quarter, we saw some conservatism in advertising investment in both online and offline media. The Americas face strong prior year comparables with Q1 '22 reporting over 13% organic revenue growth. Against that we saw organic revenue decline in media due to lower client investment from technology sector clients, partly mitigated by new client wins. CT&T recorded an organic revenue declined due to a lengthening of the sales cycle seen in Q3 and Q4 last year, triggered by interest rate hikes and client conservatism on investing in longer term projects. We also saw some slowing down from the financial sector clients where we have strong exposure in U.S. CT&T in particular, creative grew due to expanding remits from existing clients. EMEA reported the highest organic revenue growth rate across all four regions at 3.4%, CT&T reported double digit revenue growth in the first quarter, and we're seeing particularly strong CT&T growth in Northern Europe and the UK market. Media was flat in the quarter and Dentsu Creative reported negative growth for the first time in two years due to product delays in the UK and Italian markets. Asia Pacific x Japan reported organic revenue decline of over 7% with weakness across much of the region against tough comparables. CT&T saw slower client spend in both Australia and India. Media and creative were impacted by client losses and lower spend from existing clients particularly in the tech sector. The region has seen success with some new business wins and we recently welcomed key leadership appointments including a CEO in India, and a new CEO for the strategic clustering of Southeast Asia markets. Moving to our full year guidance for 2023. We have lowered our fully organic revenue growth outlook to 1% to 2% from circa 4%, due to a slower than expected start to the year. However, we remain confident in our ability to deliver the absolute revenue target for the year, as well as the operating margin target of 17.5% and the EPS guidance of ¥461 issued back in February. Acquisitions will support revenues meaning growth will be skewed more towards inorganic rather than organic revenue growth this year and finance cost reductions will ensure we deliver the EPS guidance. This leads to no change in our dividend forecast at ¥157 per share. So in conclusion, we maintain the absolute revenue margin EPS and therefore dividend per share guidance issued in February, our payout ratio will be 34%. This year, in line with our medium term guidance. Our leverage is north 0.52 times at the end of Q1 providing the flexibility to invest for growth in acquisitions as opportunities arise and we remain confident in our positioning at the convergence of marketing technology and consulting with our ability to deliver integrated solutions creating real competitive differentiation for our clients and driving shareholder value over time. Thank you.  I will now hand back to Igarashi-san
Hiroshi Igarashi: Thank you, Nick. At Dentsu, we take the long term view. As a company with over 120 years of history and sharing we recognize the structural shifts within our industry and society is in our DNA and sharing we meet our client's future needs is our focus. As the slide shows, we have got the big calls right. In the Asia scale we expanded overseas with the acquisition of Aegis, which was one of the top advertising agencies in the world at that time. Since 2013, Lensa has had a truly global footprint to service our multinational clients. In the in the age of digitalization and data, we secured the first mover advantage against our peers with the acquisition of Merkle back in 2016, allowing us to build the foundation to shift our focus to the structural growth area of CT&T. Further advanced with the launch of Dentsu Digital and our consolidation of Septeni Holdings in Japan. More recently, we are being clear on our view that the future of our industry is greater convergence of marketing, technology and consulting. We began positioning ourselves for this since 2020 with the comprehensive review, the simplification agenda, and more recently, with the ne Dentsu philosophy. We believe clients want fewer partners solving much bigger problems. This has been the resonant principle in every decision that we have made over the past three years. How can we become simpler? More connected and more integrated? In January, we launched our clients and solutions team. The next step in our integration efforts to ensure we scale our deep long term client partnerships.  We have identified a number of accelerator clients where we believe we have the most potential to scale our relationship going forward by providing integrated services and have seen success in the U.S. market where this has been trialed. So our latest announcement of Tag's acquisition positions as well to deliver the integrated solutions our clients are looking for as we position ourselves at the convergence of marketing, technology and consulting. The acquisition of Tag's the third largest acquisition in our group's history futureproofs our client offer. The deal is expected to close later this year, pending regulatory approvals. And we look forward to welcoming 2800 new colleagues to the group. Tag's Digital Infrastructure and Services will provide high quality content at speed and scale. Tag brings a scale personalization engaging, adding power to media and bringing our customer transformation and technology strategies to life.  The deal will increase our CT&T ratio by one percentage points, taking us closer to our long held 50% target. More importantly, the deal will unite the group's service offerings like never before. And I believe will improve our ability to win global integrated accounts, scaling our client relationships further.  Moving to our customer transformation and technology business. In the first quarter, both Japan and EMEA delivered double digit organic growth as demand for digital transformation enabled by centralized data strategies grows. The U.S. saw a sluggish quarter as we highlighted in February. The sales cycle lengthened as a result of the macro uncertainty caused by interest rate rises in the U.S. However, we are already seeing some encouraging signs. The CT&T pitch pipeline internationally is 8% higher than this time last year with growth in number of larger sized deals. We saw greater momentum in new business wins in this quarter versus the second half of last year, indicating that client confidence is slowly returning as they look to invest in large scale customer experience transformations. The acquisitions made over the past six months are growing on average 25% organically and we remain pleased with their progress and level of integration. Finally, we have seen a successful launch of our accelerator clients program in the U.S. as part of our Clients and sSolutions Initiative we launched at the start of this year. The win rate we see with our accelerator clients in the U.S. is higher than that of other clients. We are encouraged ahead of the global rollout of this program. Our focus is on converting the growing pipeline of opportunities we see in the second half of the year, as the pitch environment remains highly active. And we reiterate the net revenue, operating margin and basic underlying EPS guidance we issued in February given a greater contribution from acquisitions, and also the reduction in financing costs that allow us to reconfirm the underlying EPS of ¥461. Thank you for listening, I will know back to the Operator.
Operator: [Operator Instructions]. We are confirming several hands being raised. Please keep your hands raised as we are confirming your names. Thank you for your patience. Mr. Maeda from SMBC Nikko Securities. Please unmute and introduce yourself.
Eiji Maeda: Thank you very much. This is Maeda from SMBC Nikko Securities. I have three questions. Is it okay if I ask the three questions together? Or should I actually ask a question at a time?
Hiroshi Igarashi: Please could do, it's okay to ask three questions at once.
Eiji Maeda: Understood. So first question, capabilities regarding Tag, you talked about Tag's capability but the group's existing business, what are the benefits expected when Dentsu's Global Technology platform is what you refer to but can you be a little more concrete and give some examples of the benefits and the benefit how early can we see that surface if you could also talk about the potential timing of the benefits being achieved. The second question is that the organic growth was lower than expected but because of the acquisition benefits you won't achieve the net revenue target. But normally, when you grow in top line based on M&A, normally the costs also increase at the same time and so we expect the operating margin to come down lower than the expected level but the operating margin I understand is on track now.  So the acquired companies, do they have higher margin than your existing business or the strategic cost has been reduced to keep operating margin? Vis a vis what's your plan for at the start of the year? So if you could also talk about why the operating margin target has not changed.  Now, the third is organic growth, the difference to the start of the year? So what were the factors in what are regions and when you look at the Q1 results for your competitors, the competitors seems to be maintaining strong performance relatively. So is it the case that you are losing market share the Q1, the organic growth was tough. And if we could also touch on the reason as to why you have downgraded the full year forecast? These are the three questions. 
Hiroshi Igarashi: Thank you very much, Mr. Maeda for your question. I have received three questions. The first question is related to the Tag's capabilities. What type of benefit can we see on our existing business then you would like to hear about specific examples? And specifically, when in what way will we start to see benefit be registered? In this regard I will respond to the question and also ask Nick to support me as well. The second question organic growth, you said that this is low, but despite that, because of the acquisition benefit, the overall the net revenue is maintained and the operating margin when you consider the acquisition costs that are normally the operating margin would be expected to come down but what is the background to the company maintaining operating margin is it because the acquired companies have a high operating margin and in this regard, I will ask Nick to respond.  And in regards to the third question, organic growth coming down? In what region? What were the situation and in comparison to competitors are we losing market share? I will as Igarashi I will respond to third question. So first of all the capability of Tag, as I've already explained it is basically in the creative domain, but it has advanced digital solution and that's one of their strengths and so more recently, AI advanced digital solution is included and in many sense, have high level of execution capabilities. Also, it's not only for the creative domain, but for us media domain. We feel that there are a lot of the synergies expected here, content creation, they have very high capability in that area. And so end to end service for our existing clients. We expect this to be strengthened quite significantly as a result of the acquisition. And in that sense for many of our clients the more been an independent the relationship, but they already have a lot of relationships. And so we want to meet the conditions required by the regulatory authorities. And the end to end the service for our clients will be enhanced more and will also lead to acquiring new clients. So think the company will be a very strong existence in that way. And when can we see the benefit of the acquisition we see. On that point, I would like to ask Nick to respond.
Nick Priday: Thank you, Igarashi-san and thank you Maeda-san for the question. Look, we expect to see benefits in terms of revenue synergy quite quickly from the acquisition of Tag. We do consider the acquisition to be kind of the last mile to deliver services to our clients. We want to make sure we've got a full range of capabilities, which we can offer to our clients and the dynamic content production piece means we can deliver personalized messages to the right person at the right time at scale. And so that's a key part of the benefit of the Tag acquisition for our existing client base, we can be more competitive and integrated pitches, better serve our existing clients and as a Igarashi-san said hope to win new clients too.  So we expect those benefits to come pretty soon after acquisition. Obviously, we can't commit to exactly when that would happen yet, because we still await right -- but we do expect that to happen and for the deal to close early in the third quarter. If I move to the next question, which was margin? I think in terms of the margin question, you were asking, given the profile of the revenue growth being more skewed towards acquisition, to explain why we were still confident in terms of the margin delivery on a full year basis and we do retain confidence on the 17.5% margin target for the for the full year. And that's for a number of reasons. We've been very focused on a simplification agenda now for several years, we've been very focused on our net network talent across the globe, and Tag will actually contribute further to that network talent capability across our business to better service our clients.  Q1 margins were also lower largely due to timing related items such as the timing of recognition of incentives, obviously, on a full year basis. We don't have any such issue in terms of which quarter those incentives get recognized them. But we do focus on full year margins and I would say that, at the end of the first quarter, we're tracking in line with our internal expectations, in terms of where we would be on margin at this stage of the year.  My final point would be that the other benefit of growing up profiling CT&T, not only do we access the highest structural growth areas going forward, but it does mean that there's more consistency in terms of revenue and profitability on a quarter by quarter basis during the course of the year.  But as I've said the top line is expected to recover in terms of that part of our business in the second half of the year, which means we will have greater confidence in margin delivery in the second half too because of the nature of the comparable performance in 2022, the first half versus second half. And for that reason, we are comfortable to reconfirm our margin guidance on a full year basis. Thank you.
Hiroshi Igarashi: And in regards to the third question, myself Igarashi will respond. The organic growth declined, how should we understand a situation on a per region basis? Well as Nick has explained EMEA plus 3.4% maintaining strength and the background to this the double digit growth in CT&T. In the case of Japan we had strong performance last year but despite that we remain flat. It was the second half of the year, we are expecting recovery. Now large decrease was APAC and the Americas. In regards to APAC, China and India they end up with greater than expected declines. No, in this regard China, the recovery in the economy was not as strong as was expected and that is essentially the reason but in the case of India over the last six months we did have the management change and there were client losses caused by that but in May new management, the new CEO Harsha [ph] assumed office and he has lot of experience in business development. He has lot of track record in India and is well versed in new technology.  So we have this new CEO assuming office and so we expect recovery to be driven by him. In the case of Americas particularly North America, as Nick has also explained the impact of interest rates to the real economy particularly the tech sector and the finance sector. The impact was these large sectors did have large impacts to us as well. Media, CT&T both of these areas and also CXM domain. They were impacted by this particularly in regards to CT&T the sales cycle we assumed a 90 days but it has actually lengthened to 120 days so even 150 days. So this lengthening of the sales cycle did have quite a large impact to us. And Mr. Maeda in your question you've asked as to where whether we are losing market share to our competitors? Well, rather, it's not really that we have lost market share but because of this background, the number that we had assumed were lesser than we had expected but it's not really that we have lost market share to our competitors. And so we are starting to see signs of recovery and so towards the second half of the year, we will certainly work towards making an improvement. So that completes my response. Thank you. 
Operator: Thank you very much. So for the next question. Miss Fiona Orford-Williams from Edson Group. Please unmute and introduce yourself.
Fiona Orford-Williams: Good morning its Fiona Orford-Williams from Edson Group. So in terms of the conversion of the pipeline, you talked about the delays there? Do you think that's actually a structural change in the way that the market has changed in terms of you having larger, more complex contracts to negotiate? That's my first question.  My second question was that, in February, you talked about the situation with the technology plants easing slightly. Was that perhaps a bit of a false dawn and perhaps you could take us through that. And third question is about AI, which is forming quite a lot of discussions for everybody at the moment, in terms of what sort of investment you need to make to realize the benefits and perhaps you could give us some idea of the scale of what you think's achievable? Thank you very much.
Hiroshi Igarashi: Thank you very much, Fiona-san for that. In terms of the delay in the pipeline. I have mentioned about the CT&T, the CXM and North America the lengthening of the sales cycle that is impacting this. So perhaps, Nick, if you wouldn't mind adding on to this point. Also, the second part of your question about the tech companies, is restraining from the investment. So I believe the nature of your question was you like to have more details. So perhaps, I would like to answer that this is Igarashi. Also, the third question relates to more of a discussion related to AI. So as far as Dentsu Group is considered, how much shall we invest in AI? If we can give some sort of a magnitude? What sort of impact are you expecting? So myself Igarashi and perhaps, Jacki and also Norihiro-san, if you can actually add-on to this question? So let us hear about the delay on the pipeline. Nick, please.
Nick Priday: Thank you, Igarashi-san. So just very simply Fiona in terms of that question in terms of delays to the pipeline, and whether that is structural. I think it's certainly the case that in terms of CT&T deals. We are hoping to assist clients with larger scale transformation projects because of the nature of those type of projects to support clients. It can result in more complex contracts, which take a little bit longer to negotiate as we're seeing. I think a lot of the areas where we're assisting clients are quite new for both parties because their transformation projects. So I don't know whether I would say it was structural and be likely to be sustained over the long term, but it's certainly having an impact in terms of the speed with which we can close contracts and close negotiations at this current time. Thank you.
Hiroshi Igarashi: Second question related to the spending. The restraints on the sector. The background today as you know, especially centered in the United States, the tech sector performance is somewhat worsening. So, that is definitely one of the background and because of that, we have seen some large scale restructuring underway, I believe all these you are familiar with so, in related to that, the investment is somewhat suspended at the particular moment and that we are seeing that as a more conspicuous phenomenon, therefore, the tech sectors performance overall has been on the decline.  And accordingly, there has been revisiting of the structure and as well as their businesses, and we are definitely seeing some impact on our advertising sector as well. So, as you mentioned about the third question related to AI, that is definitely a perspective and that could be one of the initiatives that we expect to have reinvigoration of the activities and we definitely would like to capture those demand also related to discussion related to AI. So, for Dentsu Group, how much and where and how shall we -- how should we engage in the investment going forward. So, in order to effectively make use of our clients budget, we believe AI can definitely assist us in this effort and also at the same time. It can help in our own activities. There's definitely the possibility there, for instance. So, for instance, how we can actually deep dive on the insights of the consumers or perhaps for the automatic generation of the internet advertisement, and also forecasts the click rates and so forth, and also improvement on creative. We have many areas that we can expect to receive improvement because of AI.  Now, how much of an investment will we make towards this AI? Right now, we don't have a definite number right now but obviously right now, we are focusing on the R&D. We are working together with our partners to further explore the possibilities and the capabilities of AI. In fact, just couple of weeks ago, I myself had the opportunity to visit our clients and also tech companies in the West Coast of the U.S. and so we have Mr. Nadella from Microsoft as well. So as we get involved in we will commit to more than $100 million of business that we committed to and also with Adobe, we have engaged in a fairly positive forward looking projects with Mr. Nadella. So with clients, we do believe there are many areas of possibilities.  And perhaps, Jackie, if you can also add on some information about information related to our AI activities.
Jacki Kelley: Yes, of course. Thank you, Igarashi-san and thank you Fiona for the question. As you might expect, Dentsu Group has been using AI technology for our clients business as well as transforming ourselves for quite some time. So while it is certainly a topic right now it is not new to us. Our AI and machine learning capabilities focus on delivering personalized customer experiences, predicting customer behavior and providing operational insights. And we have found by utilizing these technologies, we're able to drive, better image recognition and next best actioning and decisioning, which has helped in our creative performance. We can use this to predict customer lifetime value as well and identify churn risk, which is very helpful to our clients.  The one important note to make is that we are stressing ethical AI using artificial intelligence in a very responsible way. And this means creating a clear framework for ethics and holding ourselves and working with our clients as well to ensure that the standards are in place. The ethics include things like legal requirements around topics like privacy, as well as values that are important to society.  I'd also like to just make one comment on both your question, Fiona around whether or not the change the organic changes we're seeing are structural for CT&T as well as Maeda-san's question on losing share by simply saying that, in the U.S. specifically. We couldn't be more confident in the capability of Merkle. We remain competent because in the U.S. we remain the strongest agency partner to Salesforce and Adobe with 5000, Salesforce certifications, and 2500 Salesforce certified employees. And Merkle continues to be called out as a leader in the space most recently, one of only eight listed as a leader in the Everest Group PEAK Matrix report, which analyzed 28 companies in the space and Merkle was the only one listed as a star performer. So we see our positioning to be incredibly strong. It's simply a moment in this market where we are seeing longer sales cycles. And we expect that to return shortly.  And I'll turn it back over to Nick for the AI question.
Nick Priday: I think we've answered the AI questions. I will hand back to the moderator. Thank you.
Jacki Kelley: Okay, sorry about that.
Nick Priday: Since the responded ended up being somewhat long we have Mugen AI [ph] which we are actually working with extra [ph] clients but we will talk about this using a different opportunity.
Operator: [Operator Instructions]. So for the next question, Mr. Rajesh Panjwani from JPMorgan Asset Management. Please unmute and introduce yourself. Please wait.
Rajesh Panjwani: Can you hear me? 
Operator: Yes.
Rajesh Panjwani: All right. Thank you very much for this opportunity. Two questions, first for Nick. Nick, you mentioned a couple of times the reduction in finance cost. Can you please help explain how did you achieve that reduction in an environment of rising interest costs? And given that, you know, some of the cash of the company has been deployed in M&A. Will that reduction in interest costs continue? And second is given the reduction in organic growth guidance for the first quarter? How does this impact the midterm organic revenue growth guidance of 4% or 5%? Thank you.
Hiroshi Igarashi: Thank you very much, Rajesh, for your question. I will need to respond to the first question regarding reduction of finance costs. And with regards to the organic growth how will this impact in the organic growth for the midterm and I will respond to that question.
Nick Priday: Hi, Rajesh. This is Nick speaking. Thank you for the question. So as part of moving to One Dentsu and applying consistent governance across a single leadership team, we've been able to reduce finance costs, specifically interest cost via the unwind of cross currency swaps, which means that we now genuinely benefit from our strong balance sheet in Japan, and access to low cost financing in Japan. This was part of a recommendation which was approved by the Board in April and we've already started to execute against this new approach, realizing savings already as part of being one company One Dentsu and those savings are permanent in nature. Thank you.
Hiroshi Igarashi: The second question regarding the organic growth target for the mid-term. Of course, the organic guidance on this occasion has been changed to 1% to 2% and so that means that the expectation for the next fiscal is a higher, of course, we need to make even further efforts. But for us, we have various initiatives to enhance our competitiveness, and the current state of the pipeline and also the accelerator program that we've mentioned before in other words for a specific client, we have a model to enable them to accelerate their growth. So we have all these initiatives that we are working on. Of course, CT&T at the core is growing steadily and so at this point in time in regards to the ahead of 4% to 5%, of organic growth rate over the medium term, we feel that we will be able to maintain that target and that completes my response.
Rajesh Panjwani: Nick, can I have a quick follow up question, what is the magnitude of savings you achieved in the finance cost?
Nick Priday: We're focused on confirming the guidance around the numbers which we set out in today's presentation. So really around the margin and the profitability and the earnings per share. So I think, look, as I said, it's very positive, it enables us to reconfirm the earnings per share guidance on a full year basis, in terms of the impact, as I've said, is permanent in nature. So there'll be benefit not just in the current year, but in subsequent periods. But we'll guide further on 2024 at a much later stage. I'm not going to do that today. Thank you. 
Operator: With that, I would like to conclude today's earnings call. Thank you very much for joining today. You may now disconnect. Thank you.